Operator: Welcome to the Ferrari NV 2016 Third Quarter Results Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Nicoletta Russo, Head of Investor Relations. Please go ahead. 
Nicoletta Russo: Thank you, Bree and thank you everyone for joining us today. There is one topic that we will plan to cover today, the Group third quarter, nine-month 2016 financial results. In light of this, the call is expected to last around 45 minutes. All relevant materials are available in the investor section on the Ferrari conference website. Today's call will be hosted by the Group Chairman and CEO, Sergio Marchionne; and Alessandro Gili, Group Chief Financial Officer. At the end of the presentation, they will be available to answer your questions. Before we begin, let me remind you that any forward-looking statements we might make during today's call are subject to the risks and uncertainties mentioned in the Safe Harbor statement included on page 2 of today's presentation and the call will be governed by this language. With that, I would like to turn the call over to Mr. Marchionne. 
Sergio Marchionne: Thanks very much, Nicoletta. I'm going to ask Alessandro to do all the heavy lifting on the call. He will take you through the numbers and through the quarter. I'm just going to make some general remarks. Obviously, we're pleased with the results that we've achieved. It is a record quarter for Ferrari. And notwithstanding the fact that we've got traditional shutdowns of the industrial machine here in Europe, for the summer, we were able to post decent results. As you see from the top line, we have been able to maintain our growth trajectory. We're well on our way to achieve roughly 8,000 vehicles being sold in 2016. Demand continues strong, so we have no bad news to report, at least on the commercial side. The product launches continue. As expected, we were able to launch the 8-cylinder version of the GTC4 Lusso in Paris, that was an incredibly successful launch. We have high expectations for the combination of the 12- and 8-cylinder package for the four-seater. Initial reaction from the market has been incredibly positive, although only, I think, about 4% of reported sales were GTC4, simply because of production scheduling. I think the prospects for Q4 and certainly for 2017, based on what we see from the demand side, are quite good. We have done a lot of work, since we last spoke, on the development of the architectural framework for the development of cars going forward. And certainly for this -- what I consider to be a fundamental shift in the way in which Ferrari is going to be architecting its cars. I think we have acknowledged in the past analyst calls the need for us to embrace the hybrid world. And I think that most of the, if not all of the vehicles that will be sold, certainly beginning with 2019, where the cycle of cars that will be launched from that point on will include, by definition, hybridization. I think it's a mandatory requirement. I think that we will make some unique -- in the Ferrari world, as an addition to the benefits associated with the environmental impact of using batteries, I think we will be using the combination of combustion and electrification to provide unique power train combinations that will yield even additional performance on these vehicles. Things that we've seen already or at least in an embryonic stage in LaFerrari, which was launched a couple of years ago. I think that I would be remiss if I didn't mention anything about Formula 1. I think that we're continuing on our path of recovery. Obviously we're not pleased with the results to date. We have brought about some organizational changes to the Scuderia in the third quarter of this year. We now have a reconstituted team which is handling the technical side of this and we have really fundamentally two objectives. One is to conclude this less-than-glorious season in 2016 in as good a shape as we can. But more importantly, I think it is to set the right parameters for the conclusion of the 2017 car, which I think is crucial to our ambitions to return to competitiveness on the circuits next season. I think I am not going to make any comments about 2017, I think. Although I think we have a pretty good idea of how that year is going to shape up, we will reserve any indications of guidance to the release of the -- when we release numbers for the fourth quarter of 2016. I'd just remind everybody on the call that our primary objective here is to try and hit the €1 billion EBITDA number as quickly as we can. That remains a fixation of mine. I think it's an indication of the cash generation capability of the staff. And I think the faster we get there -- we will let you know where and how we think we can hit that number the next time we get together for the analyst call. And on that note, I will pass it on to Alessandro, who will explain to you the quarter. Thanks. 
Alessandro Gili: Thank you, Mr. Marchionne. Hello, everyone and thanks for listening in on the call. I will start, as usual, with page 3. Our shipments reached 1,978 units, showing an increase of 29 units or 1.5%, a solid result on top of an outstanding third quarter 2015, which grew by 21% compared to 2014. The increase was led by solid performance of the 488 GTB, the 488 Spider, the F12tdf and first the leaders of a newly launched GTC4Lusso and LaFerrari Aperta. Partially offset by LaFerrari, that finished its limited serial run. Group net revenues grew by 8.3% to €783 million. Adjusted EBITDA now at €234 million, with 30% margin. Adjusted EBIT reached €172 million, with a margin increase of 260 basis points to 22%. Our net profit for the Group was up 20% to €113 million. This is again a record quarter in the history of Ferrari. Finally, at the end of September 2016, our net industrial debt was reduced to €585 million, better than June 2016. On September 29, Ferrari presented at the Paris Motor Show LaFerrari Aperta and the 75 hicons cars, together with the unveiling of the new GTC4Lusso Turbo. Today Ferrari and FCA Bank finalized the agreement to the financial services business in Europe for a total purchase price consideration of €18.6 million, upon consummation of the share purchase agreement entering to buy parties literally there. As a result of the funding being directly provided by FCA Bank, Ferrari NV and will receive €432 million. We're revising our 2016 outlook upward as follows. Shipments at approximately 8,000 units, including supercars. Net revenues greater than €3 billion. Adjusted EBITDA at approximately €850 million, up from greater or equal to €800 million. Net industrial debt lower than €700 million, down from lower or equal to €730 million. Moving to page 4, we show our operating highlights for the third quarter of 2016. Our achievements reached 1,978 units, up 29 units or 1.5%, driven by a 15% increase in V12 models, thanks to the strong performance of the F12tdf, the first deliveries of the newly launched GTCLusso and LaFerrari Aperta. Those shipments started in September. This was partially offset by LaFerrari, that finished its limited series run, the FF phase-out and the F12 Berlinetta, now with its 50-hour commercialization -- which continues to perform better than expected. V8 models were substantially in line with prior year, with the LaFerrari GTB and the 488 Spider recording growing waiting lists. Net revenues were up 8.3% or 6.9% at constant currencies. Cars and spare parts were in line with prior year, mainly driven by volumes, along with positive contributions from our personalization programs. Offset by mix due to lower saves at LaFerrari, that finished its limited series run and by logistic delays caused by one of our shipment carriers in the Rest of Asia Pacific region. Our adjusted EBITDA improved by 10%, topping €234 million and a 30% margin. The result was driven primarily by higher volumes and positive effects, primarily driven by effects hedges, partially offset by mix. Adjusted EBIT for the Group showed a 23% increase, reaching €172 million, resulting in a margin expansion of 260 basis points or 22%. The adjusted EBIT improvement benefited from a strong adjusted EBITDA, coupled with a lower D&A, mainly due to LaFerrari that finished its limited series run. Q3 2016 industrial free cash flow generation was primarily driven by a strong adjusted EBITDA, including a positive change in other, driven by advances of the new LaFerrari Aperta and increased tax liabilities. Partially offset by CapEx and negative working capital due to seasonality. Let me kindly remind you that Q3 2015 included a €37 million one-time cash inflow for the sale of the investment property to Maserati, while Q4 this year, in 2016, will bear the second 2016 tax advance and full-year 2015 tax balance payments, for a total of approximately €200 million. Net industrial debt as of September 30, 2016 was reduced to €585 million, primarily due industrial free cash flow generation. Moving to page 5, in terms of shipments, geographical distribution, EMEA, America and Greater China enjoyed a sound year-over-year growth, being Rest of Asia Pacific the only exception, due to logistics delays caused by one of our shipment carriers. At the end of September, the region Americas increased by approximately 3%. The U.S.A posted shipments in line with prior year, notwithstanding timing of the newly launched GTC4Lusso and LaFerrari Aperta, yet to arrive on the market. The 488 family and the F12tdf continued to perform strongly, offsetting the 458 family, the FF phase-out and LaFerrari that finished its limited series run. EMEA increased by more than 5%, notwithstanding a tough comparison with the prior year, which posted a 51% increase. The UK recorded only a few units decrease, due to timing of the GTC4Lusso, yet to arrive on the market, partially offset by stronger deliveries of the 488 GTB, the 488 Spider and the F12tdf. First deliveries of LaFerrari Aperta in the quarter. Strong performances were also recorded both in Italy, at double-digit growth and Germany, thanks to the 488 Spider, the F12tdf and first deliveries of the newly launched GTC4Lusso and LaFerrari Aperta. Other European countries, Africa and Middle East, expanded at double-digit growth rates. Greater China grew by approximately 15%. In China mainland, shipments grew at double-digit rates, thanks to the success of the 488 family, the newly launched GTCLusso and the LaFerrari Aperta is yet to arrive on the market. Hong Kong and Taiwan posted a double-digit increase in shipments supported by the 488 family, the F12tdf and first deliveries of the GTC4Lusso. Also here, LaFerrari Aperta has yet to arrive on the market. The Rest of Asia Pacific posted a decrease of 57 units. Shipments to Japan in particular were negatively affected by logistic delays caused by one of our shipment carriers. Australia, on the other side, posted a strong double-digit growth, thanks to the 488 family and the F12tdf. Japan also and the Asia Pacific region, experienced logistic delays caused by one of our shipment carriers in the region. Once again, had some quarter, thanks to the 488 family, the F12tdf and the first deliveries of the newly launched GTC4Lusso and LaFerrari Aperta. Moving to page 6, net revenues reached €783 million, up 8.3% versus Q3 of last year. At constant currencies, net revenues would have increased by 7.9%. Cars and spare part revenues are in line with prior year at €537 million. Higher volumes, driven by the 488 family, the F12tdf and first deliveries of the newly launched GTC4Lusso and LaFerrari Aperta, along with increased positive contribution from our personalization programs. Were offset by LaFerrari that finished its limited series run and logistic delays caused by one of our shipment carriers in the Rest of the Asia Pacific region. Engines net revenues increased by €97 million, up €46 million or 92% versus prior year. The solid growth was mainly due to strong sales to Maserati, with the number of engines shipped more than doubling compared to the prior year and higher rental revenues from other Formula 1 teams. Please let me remind you that during 2016 F1 season, we're renting our engines to three teams versus two teams in 2015. Sponsorship, commercial and brand net revenues reached €125 million for Q3 2016, with an increase of €15 million or 14% compared to prior year. Mainly due to better 2015 championship ranking compared to 2014, as well as greater sponsorship revenues and positive contribution from brand-related activities. On page 7 you can see the year-over-year changes in adjusted EBIT main items. Volume was up €15 million, thanks to an increase of approximately 90 units, excluding LaFerrari and LaFerrari Aperta, thanks to the 488 family, the F12tdf and first deliveries of the GTC4Lusso, partially offset by the 458 family and the FF phase-out. Our personalization programs continue to positively contribute. Mix was negatively impacted by LaFerrari, that finished its limited series run, partially offset by the newly launched LaFerrari Aperta and higher sales of the V12 versus V8 compared to the previous year, mainly thanks to the F12tdf. Industrial costs and R&D were in line with prior year. SG&A cost increased mostly due to the new model launches and costs incurred in connection with the new directly operated stores. forex, excluding hedges, impacted negatively by transaction exchange rates, mainly due to GBP, partially offset by yen. And other was up €9 million, thanks to the continuous contribution from our supporting activities. As a result of all of the above, Q3 2015 adjusted EBIT was up 23% to €172 million, adjusted EBIT margin expanded by 260 basis points reaching 22% and adjusted EBITDA, notwithstanding an increase in D&A, reached a 30% margin. Moving to page 8, net industrial debt at the end of September 2016 was equal to €585 million, better than June 30, 2016, due to industrial free cash flow generation. The positive industrial free cash flow generation was primarily attributable to the strong adjusted EBITDA, positive change in other, driven by advances of the newly launched LaFerrari Aperta and increased tax liabilities, partially offset by CapEx and negative working capital due to seasonality. Let me kindly remind you that Q3 2015 included €37 million one-time cash inflow from the sale of investment properties to Maserati, while Q4 2016 will bear the second 2016 tax advance and full-year 2015 tax balance payments, for a total of approximately €200 million. CapEx was €75 million, driven by R&D and product investments in connection with our continuous product-range renewal. On September 29, Ferrari NV led the Paris International Motor Show, the new GTC4Lusso Turbo, the first four-seater powered by the latest evolution of the V8 turbo engine, that received the International Engine of the Year Award in 2016. Shipments of the GTC4Lusso T will start in 2017. In the next pages, we're presenting, as usual, the main activities of our customer relationship activities. And we're not going into the details for these pages and we can move directly to page 14, where we're revising our Board's guidance for 2016 as follows. We expect shipments at approximately 8,000 units, including supercars. Net revenues greater than €3 billion. Adjusted EBITDA at approximately €850 million, up from greater or equal to €800 million. Net industrial debt lower than €700 million, down from lower or equal to €730 million. And with that, I'd like to turn the call over to Nicoletta Russo. 
Nicoletta Russo: Thank you, Alessandro. We're now ready to open the Q&A session. Thank you. 
Operator: [Operator Instructions]. We can now take our first question from John Murphy with Bank of America. Please proceed with your question.
John Murphy: Just a first question on the 57 units that are delayed in APAC as a result of logistics, obviously, the revenue was not recognized, but just curious if the cost was recognized just trying to understand because it seems like it could have been even better in the quarter if you had those 57 units recognized on the revenue side?
Sergio Marchionne: Is partially true obviously we've been able somehow to offset the delays in the quarter and we distributed a portion of those units to some of the other regions. Not but completely portion of that you can see especially for Australia that was a double digit growth primarily because of that. 
John Murphy: Okay. But should we expect to see those 57 unit show up in the fourth quarter if they were lost in the third quarter? 
Sergio Marchionne: Yes. 
John Murphy: Okay. That just a second question on the LaFerrari Aperta, the decision to keep nine vehicles made sense from a marketing standpoint, but I'm curious if there were any other motivations that you might think you might realize greater revenue on those vehicles in the aftermarket post sale kind of like you were seeing with the LaFerrari? 
Sergio Marchionne: No. There was no devious to do that. 
John Murphy: That's not devious necessarily. 
Sergio Marchionne: Well, if I do those models purely to increase the value at the end, I think it would be improper to anybody else vehicles from us. So we have to be very careful with the pulling off gimmicks year to try especially on limited edition cars. This is a bit we need to take very seriously. People invest in these cars and the invest a substantial amount of money with the comfort of knowing that the houses respecting its limits. On production, it would be very easy to produce 10 more and make more money. So I think we have to we need to be very careful here. By the way, when we size these limited edition vehicles, it is a very painful discussion on the inside of the house. Because we know we can sell more and so the real issue is where do we draw the line in the sand. As a difficult discussion, I'm not sure we hit it right all the time. But certainly, we're on the same of conservatism to make sure the value is retained for the customer. And on the other side of it, you realize that we also asked them for a commitment not to flip the colors. And if they flip the car, outside of a reasonable period of time, then I think they come off our list and they won't be precluded from buying other vehicles. So we take this relationship pretty seriously. 
John Murphy: Okay. Just another question on the electrification or hybridization of the power trans around the 2019 timeframe. Is that encompass the current projections that you have in-house? Will that result in any step up in Road? And is this more a response to the need for linear to work in performance to compete with other vehicles that are electrifying their power trans? 
Sergio Marchionne: Yes. I mean, there's not a single doubt that two issues, one, I think in terms of the forecast that you had which may be built into your models which are based on historical trends, I would not expect a material shift in Road to accomplish that and electrification is well known to the house especially in view of its introduction in LaFerrari but more importantly because the fact that F1 Formula One is effectively acted. Repository of knowledge and it's been there for a number of years now so I think we're going to be able to leverage the knowledge across the other side although it's very quickly are very specific on the side of F1, the element for the combination of combustion and diversification prior unit exists there. In terms of the reason to do this, I think you will be it's inconceivable to me today that anybody was manufacturing costs going forward with even high end sports cars like we produce that it would actually be offering a portfolio of cars that they don't offer hybridization. I think the anything about Ferrari is that it can use the commitment to the environment to effectively on a combined basis provide a unique driving experience as we've done with our Ferrari. I would expect that the performance he will get from eight cylinder on a hybrid basis will be significant significantly better than you will get from a car today. And what will make it really interesting is a combination of those two didn't everyday card. And I think that I think it will continue to trend of us improving performance of these vehicles as we develop them. We're reaching some relatively numbers in terms of per liter of engine. Now is the combination of our adoption of turbos. I think the next phase is the combination of that turbo combustion environment with the electricity. And I think, it's an exciting development path and I think it's going to become mandatory for all of us who are serious about this business. 
John Murphy: Just lastly real quick on F1, do you think the performance is the result of Road dollars and investment or is this a question more of team and management just trying to understand if you think you need to throw more money at F1 to get better results? 
Sergio Marchionne: I'm going to tell you something honestly I think I've thrown all the money I like to throw at that thing. And we've done this in the past, but I think what has never been an object in terms of the development of F1, I think we need to use that funding better. I think a lot of it is not most of it was due to the way in which we organized. I think that structure is now changed. I think we need to wait, I think we need to be modest in our expectations. But when the car starts racing in March 2017, whatever it is that this team is been able to do as a result of the new configuration will be visible in think we can criticize I want to make it projections about how well we will do in 2017. I think I paid it on the nose when I tried to rely on internal estimations an improvement of the car 2015 to 2015 I'm not going to repeat better on the 2017 car think we'll just have to see the car on the track back 
Operator: We can now take our next question from Monica Bosio from Banca IMI. Please go ahead.
Monica Bosio: I would have three questions. The first is on the personalization, customization can you give us an indication of the level of the in the third quarter? And as for 2007 with the introduction of the 350 special version, I can imagine that level of personalization will increase. Is it reasonable to assume or to think about personalization in the region of 25% already in 2017? And the last question is on future program. The company is now working on the next model cycle. What do you see the most interesting growth opportunities in terms of customer segments, engines, products, how do you see the potential introduction of a V-6 engine for Ferrari? Thank you very much. 
Sergio Marchionne: Let me do with the last part of your question first and then I will give it to Alessandro to answer the stuff of personalization. By the way, this is a general Mark, I think 25% personalization in 2017 you are smoking a little material. Nothing moves at that speed. But the second issue which has to do with what we see as the most exciting part of the product portfolio other than hybridization, I think that one of the things that we have I mean this is as good a time as any for me to deal with the issue of the luxury nature of the brand and its extension into areas that are presently does not cover. When you look at the portfolio of cars that we manufactured today, I think that one of the unexplored areas for us, two things ought to be obvious. It is easier for us to extract value from selling a car than it is for us to enter into the extension of the brand and to luxury spaces that we currently don't occupy. For a couple of reasons, one, because we of the total processing control within the full today and I think extensions elsewhere would require certainly a start up phase and would require a different level of intervention on the part of Ferrari that we're historically used to. It is also answer your question is appropriate because I think that the easiest way for us to try and increase performance and these financially is to explore areas that we currently don't cover in the transportation space. And this is the isolation excluding SUVs and other sort of traditional offerings to car buyers. I think when you look at our range, there is a phenomenal emphasis that exist with the Ferrari and what I consider to be for performance and yet there is a piece of Ferrari which has historically relied on [indiscernible] and traditional other traditional traits of Ferrari which is not grown to the extreme and have not been embodied in the latest round of technology as we have done with eight and 12 cylinders. One of the things we're looking at right now is whether we can expand the product offering without distorting the nature of Ferrari and we think going back to some of the key elements were you look at a product portfolio that Ferrari has had over the years to try and bring back into the market and effectively thereby increasing volumes without removing or without impacting on the core elements of the performance piece of the brand. To expand the product portfolio to encompass additional cars, it is very doubtful in order to do that I don't have to reinvest in architecture as they exist. It is really a question of being able to shape the vehicle on the basis of current architecture is that are available within the house. Including powertrains. And so it's a difficult effort, but I think it's somewhat easier in terms of our ability to generate profit to cash if we stick to the knitting and state the cars while at the same time continuing to look at the extension into luxury in a more reasonable pace. 
Alessandro Gili: Going back to your first question, the percentage for the quarter in terms of personalization is consistent with the prior quarter. So excess of 60% measured on cars and parts revenues. And as mentioned 25% is well above what we expect for next year. 
Monica Bosio: Okay. So just a follow-up if I maybe I forgot to ask you one thing about the waitlist, maybe I lost the detail, but did you give any kind of indication for the way to lease in the GTC4? 
Sergio Marchionne: It's a multi-month waiting list now. We have only shipped how many cars was it? 
Alessandro Gili: 82. 
Sergio Marchionne: We have only shipped 82 cars in the quarter we're in ramp up phase now so the orders are coming in. 
Operator: We can now take our next question from Thomas Besson from Kepler Cheuvreux. Please go ahead. Your line is open. 
Thomas Besson: I have three questions please. First, you have been discussing for a long time the 9000 units and a 1 billion EBITDA and you're getting much closer than I thought to be and I think a lot of can you discuss what you view as that the ceiling but the prospects in terms of volumes for Ferrari without [indiscernible] is there a ceiling of around 10,000 units or can you imagine Ferrari being somewhere between 12,000 and 15,000 by 2025, 2030, that’s the first question. The second is around the development, we should expect for mix please it has already improved a bit sequentially Q2, Q3 and when we look at the coming quarters with higher volumes for the Aperta and [indiscernible] car is it reasonable to expect a single digit 1 million negative for FX for mix sorry and lastly, does being in engine revenues can you give us any quality indication of the impact of this engine boost to revenues on the operating investments of the police? 
Sergio Marchionne: I am going to deal with the first and the third question I will leave out up to Alessandro to give you an answer on the second. It is nearly impossible for me to try and talk to you about 2025 and talk to you about volumes. As you well know, the 10,000 limit is a limit that is imposed as a result of a variety of constraints, one of which has to do with various jurisdictions in the impact on emissions standards and so on. What is difficult for me to tell honestly is what hybridization will do in terms of the compliance requirements and that point in time and whether effectively allows us to play a different game. What I do know for sure and we have made this point even as we were on the road trying to explain Ferrari to investors. Is that there is an expansion in the customer base that is relevant to Ferrari which is a result of wealth creation across all continents. And I think our customer base by definition is growing and it has grown considerably in the last 10 years. It is possible, although I neither commit to this nor do I given any certification is being our objective, it is possible that the numbers could well be in excess of 10,000 cars in 2025. If all the economic conditions that have led to the expansion the customer based and if we have found a proper way of dealing with the issues connected to CO2. And I think hybridization will go a long way in answering the question. The second question as to whether the first condition has been met or not so I think we will have to wait. But there is nothing that technically prevents this house from selling from a manufacturing standpoint for selling 15,000 cars. We have the capability in house to get to that number because of the way in which the plant infrastructure has been set. The other third question which has to do with engine development, I mean obviously Ferrari is delighted that Maserati continues to grow, I think that the introduction of the end of success in the marketplace is augmenting and is providing substance behind the commitments making in terms of engine demand. The operation between Ferrari and Maserati is obviously earnings accretive. It is not as earnings accretive some cars, but actually does absorb plant overhead and therefore it's a good thing to do. I think we're comfortable the last time I spoke to the CEO he told me that he was quite comforted by the demand function that he sees in and I think it's a brand Ferrari is a perfect partner to provide engines solutions to Maserati and if Maserati continues on its trend today and it completes its product portfolio that demand could reach as much as 75 as much as 75,000 or 80,000 cars the completion of the product expansion. If that is true, then Ferrari will continue to play significant role in that it will be positive thing for the house. We do have the capacity to continue to produce event and so I think we will play along, but I will leave it to Alessandro to answer the other question on mix. 
Alessandro Gili: On the mix side, you've seen from the starting of this year in terms of progression, volumes have been growing and have been able to cover most of the negative mix that we have encountered over the different quarters. The base product portfolio has been positive in all the different quarters the main effects on the mix for both Q2 and Q3 was really driven by the limited series run off all the LaFerrari so you will see that also in Q4 because that's obviously the picture in 2016 compared to prior year and I think on the engine we kind of covered your question. 
Operator: We can now take our next question from Ryan Brinkman with JPMorgan. Please go ahead. Your line is open.
Unidentified Analyst: This is on Amit Chatterjee [ph] behalf of Ryan Brinkman. The first question I had was more in relation to 4Q, regarding 7000 to 8000 deliveries for the year which will imply that your 4Q deliveries will be slightly down year on year even as we sort of learned to play that maybe you benefit from logistic issues and APAC [ph] going away and also the ramp up of the GTC4. So just trying to understand if there is some level of conservatives something there or is it some cadence that we should keep in mind in terms of vehicles that’s driving the number lower year over year? 
Sergio Marchionne: This is Sergio Marchionne on behalf of Alessandro. I like this notion of using other people's names to register on the call so I'm going to be as on behalf of everybody else now, but I think that the number is going to be in excess of 8000. I think there is a tale down on the got his number which indicates approximate thousand so it will be about 8000 and 50,050 I will not be shocked if it's 7000 950 I would be shocked either. But I don't see any reason as to why the number ought to be compressed. I think we will deliver all cars required by the market. 
Unidentified Analyst: And just follow up on the 2019 guidance, when the high end of the initial guide that was given during the IPO process was around 9000 units and that would imply roughly 4% to 5% growth in vehicle sales volumes business on an annual basis, so just wondering if there are other levels if you can pull in terms of pricing or more personalization over this time period to have that growth higher over the next three year timeframe?
Alessandro Gili: I'm not sure how to answer your question. I think the number that you raises the volume is a doable number over the next three years. I think that I keep reiterating our commitment to produce $1 million in EBITDA. I keep on saying this is really probably the best indication given the reduced exposure this business has to capital consumption, the production of $1 billion in EBITDA will be one huge step for us, continues to be the primary growth objective in our growth pattern here. The question is how quickly do we get there initially we had to leave unanswered until I give you formal guidance at the end of 2016. 
Operator: We can now take our next question from Massimo Vecchio from Mediobanca. Please go ahead.
Massimo Vecchio: A question on the list price, during the Paris show I think it was saying that the waiting lease was growing massively epic is talking about between 12 and 24 months and thinking about raising list prices. Can you expand on that point? 
Sergio Marchionne: Was partially happened and the rest of it will happen. 
Massimo Vecchio: Okay. If I am correct, you used to raise list price 1% to 2% per year and obviously this is going to be higher than that. Is it a good estimate? 
Sergio Marchionne: It's more than likely higher than the number you suggested yes. 
Operator: We can now take our next question from Adam Jonas from Morgan Stanley. Please go ahead. Your line is open.
Adam Jonas: Does the incredibly strong demand for the higher-priced models like the Aperta and the 70th anniversary special models change your thinking of price inelasticity for your higher volume cars i.e. is there -- how to use the worm potentially to raise prices slightly year to year without sacrificing the waiting list that you still obviously want to preserve? 
Sergio Marchionne: I have become to dialogue with our customers probably the best indication of how the market will respond to pricing action. I think that there is a willingness on the part of the customer base to pay higher prices as long as we keep on guaranteeing the exclusivity of the brand, which only reinforces the commitment that we have made to restrict volumes, especially on a particular model basis by not flooding the market with cars. And so, the best I can tell you how dumb is that we continue to push the edges on the envelope on pricing and I think it's we're trying them, we're getting all the possibility increases on the market that we can possibly get I don't know we have to find the appropriate moment to do this because it has to be connected with something of significance a connection with a particular model and as we keep on rolling out modifications to existing vehicles or as we launch new cars, we will be looking for pricing opportunities across the range and we have. My view about pricing has changed somewhat because I think I am encouraged by what I see as a result of the interventions that we just made. I am not seeing a drop in the customer waiting list. I still think that we're too long on the eight cylinders. We're not talking about deliveries in 2018 for the 488 which is a very long period of time to ask a customer to wait for a car. That worries me and so, it goes back to the answer that I gave to one of the previous caller's about the product portfolio whether effectively we should be looking for ways to expand the portfolio without impacting on the core elements of the sports side of the house. This is a discussion that's ongoing. It will assume some semblance of a plan, hopefully by the end of this year and we will be able to give you a think more intelligent guidance at the end of 2016 only complete our plan. It is possible that we would tack on two additional cars to the current portfolio over the next three or four years to try and effectively get a broader reach for the brand that we're currently getting without impacting on the core the 488 and the F12 because I think those are remain the core elements of the technology side of Ferrari. I think there's other places where we can play. We can play better game than we played now. 
Adam Jonas: Just final one on dividend payout corridors, Sergio, you previously discussed a dividend of net income and it looks like in 2016 the dividend maybe towards the lower end of this range right around 30%. Can you reiterate the payout range, obviously subject to shareholder approval but do see a reasonable scope for an increase of that dividend and I'm thinking in the 2017 is your cash tax rate starts falling as well, your free cash flow should still be pretty strong. 
Sergio Marchionne: The reality of this is, there are two things that have happened. One is I can tell you with some level of comfort that I think the 2016 dividend for 2015 will be higher than 2015 was on 2014 just in terms of the percentage they have. But the other thing that's become apparent to us is that we've been watching one of the things that we were and I think to some degree the criticism was correct that we did not intervene when the market went sideways with the share price. I think that we now have authority for the buybacks and we have authorization by the board to effectively execute. Which are two elements that were not necessarily present the last time that we can take an opportunity. I think we need to look at this real hard because this is a cash generation machine. And so, there is a limit the dividend policy and share buybacks that are going to become an integral part of the landscape going forward because the investments required to try and expand upon the portfolio I'm not going to it just it's based on current architectures and established prior. So we will be able to benefit from the expansion of volumes pretty quickly and so many to get ready for a time where I think it maybe just yours for us to intervene on the market and any type of operation in share price performance. All these things are back on the table. 
Operator: We can now take our next question from George Galliers from Evercore. Please go ahead. Your line is open.
George Galliers: First question I had is your guidance now stands around 10% ahead of your original guidance at the start of the year, could you perhaps elaborate a bit on what has delivered the better results versus your original expectations? Obviously you guided to a 100 more units in there, but what have been the other big pieces that have come in better than you had anticipated? 
Sergio Marchionne: Well I think there been three things. One of these that I think there is an increased volume, secondly, I think we've been able to and so part of the portfolio to increase prices and I think we've seen the benefit of this coming through. I think personalization continues to play a significant role. The other part of which I think was not accidental was the fact that we were able to bring down to some level the F1 cost. They are not a tremendous contributor, I think they are moving in the right direction I would expect that number to continue to improve as we work through the 2017 and 2018 season. 
George Galliers: And is it fair also to say that the revenues from the LaFerrari [indiscernible] considered in the original guidance are considered today? 
Sergio Marchionne: I'm not sure. I think when we gave you guidance we knew the LaFerrari existed it's kind of hard to ignore it, it didn’t grow under a tree in Christmas. 
George Galliers: Okay. Secondly, just on motorsport, it's clearly something that Ferrari has been at the forefront forever pretty much and from a brand and marketing perspective it served, given your comments around the electrification, does that make sense for Ferrari to be involved in some of the pure play electric series such as Formula E that that’s starting to attract other OEMs. Is this something you discuss or consider at all? 
Sergio Marchionne: The answer is yes. I have agonized over with this with my colleagues here in Ferrari for quite a while. I'm going to give you two answers to the problem. If Formula E today is a currently structured requires people to change cars during a race because we exhaust the power available within a given car, that is not something that Ferrari would naturally gravitate to. Secondly, the standardization associated with the electric car is something which runs against the grain of Ferrari because otherwise it will prevent him from playing whatever it is that it does technically on a vehicle. But I think it is possible that some level of maturity that Ferrari would develop unique set of skills that will make that car uniquely Ferrari in an environment like that but I one, I know where you are not there today. And secondly, if it were to happen it would happen a few years from now, but it's possible. 
George Galliers: And then one final question also somewhat strategic, could you perhaps share a little bit on what the motivation was behind GTC4 [ph] was it that your customers wanted something lighter? That they preferred two wheel drive? Something easier to drive maybe in cities? And could that logic also be applied to the replacement for the F12 Berlinetta i.e. could you put an eight cylinder engine into that car's replacement? 
Sergio Marchionne: The technical answer to your question yes we can put an eight cylinder in F12. I'm not sure that we would do that because I think that the benefit associated with putting in eight cylinder on the GTC4 goes to all the reasons that you have listed on the one side. But it also a GTC4 the 12 four-wheel-drive four-wheel steer is one complex animal of a car. And it is in a lot of ways and embodies technologies which cause. I think the eight cylinder is an easier entry point into a four seater environment for Ferrari and I think that was really the primary objective was to allow people to enter GTC4 fully loaded is not it is not a cheap car even by Ferrari standards. And so we had to allow for an easier entry point into the class and we thought that the eight cylinder would play that role. 
Operator: We can now take our next question from Steven [indiscernible] from Societe Generale. Please go ahead.
Unidentified Analyst: I’ve a question first on the third quarter, I know you don't like to give too much information about the individual models, but obviously you did mention that you had sluggish TD [ph] sales in the first LaFerrari Aperta sales. Could you at least give us some indication, how long will you be selling the TD [ph] or have they already been sold in the third quarter period or will they be finished by the end of this year? And also on [indiscernible] just roughly how long you expect to be selling vehicle before you have delivered those 200 cars? Second question, just if I can understand a bit better, your comments about new potential areas for Ferrari to explore in terms of elegance and the like, you made the distinction that it does even pure [ph] performance that’s delivered by the V8s and the V12s. So does that suggest that you are actively exploring the V6 as you mentioned you do have those architectures within the house? Thank you. 
Sergio Marchionne: By the way, the only thing that I meant by suggesting we were exploring the extension of the brand is that all the powertrains that we offer and the configuration are capable of offering a more manageable power output that we currently offer in the extreme vehicles. There are things that we do to these engines that effectively bring up extreme performance for them. I don't have to offer the level of extreme performance once I have the Powertrain on hand and I think that we can tone down and we move costs on the engine by effectively weather slightly more human than it currently is we're talking about phenomenal performance of these engines. If you look at the number of forces per liter of displacement that we have on these engines, we're the leading edge and continue to be the next phase of development of the architecture will push it even further. So we're getting better and better at this. I think that there is a more human side to Ferrari which relies on elegance and a combination of our prior trains not taken to the extreme which will fill a big hole in our lineup. We need to make sure that we had the whole right and that we effectively do not debased the Ferrari branded we do not do anything. I am maniacal about doing anything that will hurt the brand. The brand to us is the most important thing that we own and everything that we must that we do here is going to be additive to the creation of a more desirable brand. And I think that the way in which that car gets played out in the end is yet to be defined. What I can tell you is all the knowledge that's required to enter those spaces is within the house including the architecture to support that. 
Unidentified Analyst: Do you think you need to you -- can you get to the promised emissions reductions with the existing architecture? With the existing V8 and the 12 architectures with hybridization? By 2020? 
Sergio Marchionne: Yes. And just to be clear, we can get there without having hybridization in 2020. I mean we won't be playing those game unless we weren’t in compliance. This issue is beyond 2020 game and that's why we need to get this ready now to make sure that we can play the next phase. Hopefully you will be a shareholder beyond 2020. This is not a four-year plan. By the way you're asking about the TDF as to whether we have exhausted, I think most of it will be done by the rest of this year.
Alessandro Gili: Most of it will but we are still continuing a portion in 2017. 
Unidentified Analyst: And also the sales of the Aperta, will those also be sold how long in 2017? 
Alessandro Gili: We will complete Aperta in 2017. 
Operator: We can now take our final question from Lello Della Ragione from Intermonte. Please go ahead.
Lello Della Ragione: Couple of questions, the first one is on down payments that you showed on your bridge, you actually mix with the tax some other liabilities there and I would like to know if you can give us an idea of the size of -- [indiscernible] we should expect something else in the fourth quarter as well. Another question is the [indiscernible] forex, the start of the year you guided for some $40 million positive impact and now your bridge -- it has changed a bit in a way you showed the forex effect you got for the [indiscernible] and I was wondering how to reconcile the actual bridge that you posted of the initial guidance that you gave to us at the start of the year. And finally on the last question that we discussed a lot about V6 hybridization and exploring new segment more related to the luxury, I was wondering if this might include as you are doing with Maserati, it's benefiting from the fact that you’re developing and producing the engine so explore and growing that area not using obviously the Ferrari brand and so using your engine the development to explore that area and grow your avenues. Thank you. 
Alessandro Gili: Alessandro can take you through the intricacies of the hedging and what happens. You are talking about selling engines or talking about entering Maserati space? 
Lello Della Ragione: No. Applying the Maserati strategy to some other brand. For instance or models just more into the V6 hybrid V6 as you were probably referring to in your previous statement. 
Sergio Marchionne: I didn't make any reference to a V-6 hybrids, you did but what I'm saying to you is I think we're open to explore areas that will complement the current portfolio. That is not in a way does not impact on the core skills of this house which is the 488s and the F12. We have to be very careful that we protect the uniqueness of the technology goal advancements we're making in those two vehicles. Those need to continue to be the big driver of technology inside the house. We're just talking about rounding out the edges. On that basis I won't say more to we're ready, but I will pass it to Alessandro. 
Alessandro Gili: On the side for the as you said it's a combination of the advances which are 60% of the total number the rest is the accrued component of the tax liability of the quarter. There are still see to come in Q4 terms advances so we haven't completed the full cycle of advances still get something in Q4. On your second question in terms of the effects component. So the overall combined [Technical Difficulty] 22 million if you sum the three elements. We just separated the effect of the edges of both last year and this year just to make it clear how to walk from a transactional standpoint in terms of FX impacts. If you want to reconcile that with the guidance that we provided we made almost 22 million in Q3 on a year to date basis it is almost 30 million on an annual basis it is close to 50 million or a little bit in excess of 50.
Operator: Thank you. That will conclude today's Q&A session. I will now turn the call back over to Ms. Russo for any additional comments. 
Nicoletta Russo: Thank you everyone for joining us today. The team will be available in a few minutes for any follow-ups you may have. Thank you. 